Operator: Thank you for standing by. This is the conference operator. Welcome to the Torex Gold Resources, Inc. Second Quarter 2022 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Dan Rollins, Senior Vice President, Corporate Development and Investor Relations. Please go ahead, Mr. Rollins.
Dan Rollins: Thank you, Operator, and good morning everyone. On behalf of the Torex team, welcome to our Q2 2022 conference call. Before we begin, I wish to inform listeners that a presentation accompanying today's conference call can be found under the Investors section of our website at www.torexgold.com. I'd also like to note that certain statements to be made today by the management team may contain forward-looking information. As such, please refer to the detailed cautionary notes on Page 2 of today's presentation as well as those included in the Q2 2022 MD&A. On the call today we have Jody Kuzenko, President and CEO; Andrew Snowden, CFO, as well as, Dave Stefanuto, Executive Vice President, Technical Services & Capital Projects. Following the presentation, Jody, Andrew and Dave will be available for the question-and-answer period. This conference call is being webcast and will be available for replay on our website. Last night's press release and the accompanying financial statements and MD&A are posted on our website and have been filed on SEDAR. Also, note that all amounts mentioned in this call are U.S. dollars unless otherwise stated. I'll now turn the call over to Jody.
Jody Kuzenko: Thank you, Dan, and good morning to all in the line. Welcome to the Torex Gold Q2 results call. I'll open my remarks this morning by saying we had a very strong second quarter which sets us up nicely to deliver on guidance for the fourth year running. From an operational perspective, production came in slightly ahead of plan due to higher grades in the open pit and record underground mining rates with an ELG Underground. And the team at ELG continues to do an excellent job in keeping control on costs despite the challenging inflationary environment. On Media Luna, tunnel drives are progressing well with the team delivering a record advance rate in June. We are also heavy into the procurement phase for long-lead items and expect project activities to ramp up through the remainder of 2022. New this morning, we have a new executive team member joining us on the call, given that the project is now into the execution phase, Dave Stefanuto, our Executive Vice President of Technical Services and Capital Projects will be joining us today and going forward to provide the update on Media Luna and answer all questions related to the project, particularly the hard ones. And in terms of the agenda, nothing new there, I'll provide a brief reminder of the strategic pillars, which we continue to execute on. Then I'll step you through the key business and operational highlight specific to the second quarter. Then over to Andrew Snowden for some detail on the financials. And after that, Dave will provide a progress update on both Media Luna and exploration. To the extent that we're making any forward-looking statements, we're relying on the Safe Harbor language contained in that slide. Starting on Slide 4. I wanted to refresh everyone on our strategic pillars, which reflect really the long-term vision of Torex, and I'll focus my comments on the three across the top. On optimize and extend ELG, we are continuing to work at evaluating additional options to modestly extend the life of the open pits but really the focused effort is being taken a ELG underground. Recall, we have reserved life in that asset out to 2027 at 1,200 tonnes a day. This quarter, you're seeing some of the first results on optimizing that mining rate and in the coming quarters you will see some exploration results that speak to extending the asset life beyond current reserves. On advance and de-risk Media Luna, early days yet, but we're tracking to plan with project activity expected to ratchet up over the coming quarters. And on grow reserves and resources, drill programs are progressing well. We recently released results from exploration drilling at Media Luna and EPO and expect to publish several more releases prior to year-end. Turning now to Slide 5. We produced over 123,000 ounces of gold in the quarter which was driven by nice grade in the open pit, higher than planned tonnes from high-grade ELG underground and slightly higher recoveries than we saw in quarter one, as we transition out of a pocket of lower recovery ore in the Guajes Pit. The underground really here was the standout of the quarter with record average mining rates of 1,580 tonnes per day. We're targeting to maintain this rate through the back half of the year. We delivered adjusted EBITDA of over $137 million and this accounts for the Q2 annual payment, we make for profit-sharing in Mexico this year. It stood at $22 million. The cash generating capability of this asset continues to show itself with free cash flow generation standing at $74 million. We closed the quarter with $311 million in cash, over $460 million in available liquidity. We're well advanced in our discussions with the banks on increasing and extending our current credit facility and Andrew will touch up on that in his commentary. As expected, Media Luna is ramping up, following board approval at the end of the prior quarter. And now over to Slide 6. You can see there that we're well-positioned to deliver on full-year guidance. Three key areas of note on this slide; we're tracking towards the upper-end of full-year, production guidance and expect second half output to be similar to first half. Our team is doing a great job containing costs within a challenging inflationary environment, and as a result, we're targeting to achieve mid-point on AISC guidance for the year. The one area of change to our guidance is at Media Luna where non-sustaining CapEx is now guided at $172 million to $210 million versus original guidance at $220 million to $270 million. And I want to take some time to explain this change. Post completion of the technical report we conducted a thorough review of project cost flows, particularly around 2022. What we found is that we had prorated spending on freight, import taxes and contingency to track with direct expenditures. When in reality, these indirect costs are likely to occur later in the project build. So we have pushed out $50 million of forecast expenditures into 2023 and 2024. I want to be clear here that overall there is no read-through to the project schedule or budget based on this change. Development of Media Luna is on schedule and there's no change to the total project spent. Turning to Slide 7. Our strong safety performance continued. The company closed the quarter with a lost-time injury frequency of zero over the last 12 months, and notably, we also hit the milestone of 10 million hours worked, lost-time injury free, all employees and contractors. As I've often said, the only thing harder than getting to zero is staying at zero and the streak came to an end in July, when a contractor suffered a laceration to his finger while hanging pipe underground. You'll note on this slide that our control programs to minimize the impact of COVID remain in place, and on governance, we're welcoming a new Director to our board, Rodrigo Sandoval, brings with him significant experience from Mexico's mining industry, and with his appointment, not only do we further strengthen and culturally diversify our board, our refresh that we started two years ago is now complete. Slide 9 sets out quarterly details on key operational metrics. Two highlights here really. One, you can see the consistency quarter-over-quarter, a testament to our strong systems culture and operating discipline that delivers reliable results; and two, in the bottom right-hand quadrant you can see that uptick of mining rates in the underground to almost 1,600 tonnes per day out of our optimization efforts. We've maximized equipment availability space time and have now opened up more than 20 headings underground. And you can expect the second quarter performance to be sustained in the second half. Slide 10, on unit cost, sets out our performance through the first half of 2022 versus the blue bar at the bottom, which is full-year of 2021. You can see their initiatives to hold the line on costs is helping offset natural inflationary pressures in the market. Overall, our team is doing a good job at pulling levers to deliver with higher price consumables, energy consumption and labor. Mining costs are running higher than last year, driven by additional re-handle during the rainy season. And re-handle to support optimal blending to maintain net control in the plant. We also saw in the second quarter some lower utilization fleet rates within the open pit mining fleet. Underground mining costs are holding strong, partially driven by increased mining rates providing some economies of scale. Processing costs are lower driven by reduced cyanide consumption, which is averaged around 2.5 kilograms per tonne through the first half versus 4.7 kilograms per tonne in 2021. Profit-sharing is higher through H1 than last year. Recall during quarter one, we accrued $2.6 million of additional profit-sharing payments related to 2021, given the updated legal clarifications from the Mexican Government around PTU. I'll now pass the call over to Andrew to review the quarterly financial results.
Andrew Snowden: Okay. Thanks, Jody, and good morning everyone. And I'll start my commentary today by providing an overview of our Q2 financial performance as summarized here on Slide 12. We had a strong quarter financially with low costs and a realized gold price of 1,865 an ounce resulting in a total cash cost margin of 62%, and an all-in sustaining margin of 50% during the quarter. Like our peers, there we are also seeing inflationary pressures in certain areas of our cost base, which furrows is primarily in ammonia-related inputs into our plant, particularly with cyanide prices. I will say, though, that to-date, we've been successful at actively managing these cost pressures through managing consumption rates, through blending, and the monitoring of discretionary spend. And as Jodi mentioned earlier, we continue to be confident in achieving our annual cost guidance despite these pressures. One of the comments in our all-in-sustaining-costs is that we had to slowdown plant stripping at the El Limón pushback this quarter due to temporary labor and equipment availability limitations. This stripping pit back up in July and so you should expect to see higher capitalized stripping in the second half of the year and with it a higher AISC to end the year within our guided range. With this strong cost management and margins we generated $137 million in adjusted EBITDA and $127 million in operating cash flow during the quarter. And this operating cash flow was after the $19 million of tax payments, primarily related to monthly installments and the $22 million payment for the mandated Mexican profit-sharing related to the 2021 year. As a reminder this profit-sharing payment is paid each year in May. And after capital expenditure of just over $52 million, we delivered free cash flow of $74 million in the quarter. And I want to point out though that we expect free cash flow to decline over the remainder of 2022 and remain negative during 2023, spending on Media Luna increases in what --in line with planned development activities. I also briefly just want to provide some guidance on depreciation to note that we are expecting to incur between $175 million and $200 million of accounting depreciation in the year. This is slightly lower than we saw last year. And that's really a result of the Media Luna approval in March of this year and now the inclusion of reserves in the depreciation base for certain assets will be used through the Media Luna years. The tax depreciation in 2022 is expected to approximate between $70 million and $80 million and that's a similar level to last year. And the reason behind the deferred tax movements we've seen over the last few quarters. Turning now to Slide 13 for a review of our cash movements during the quarter. As was noted earlier, we ended the year -- the quarter with $370 million -- $311 million in cash and no debt. And that's an increase of $74 million in cash through the quarter. I just want to highlight a few items on this cash waterfall. Firstly on taxes, I mentioned earlier about the tax installments and so the installments accounted for $18 million of that total tax payment in the quarter, and going forward, I expect the tax installment to continue at this level. And so that's roughly in the $6 million to $7million range a month for the remainder of the year. On non-cash working capital, and we had a positive inflow during the quarter and that just reflects normal movements following the $14 million outflow we had during Q1. These positive inflows helped offset the $22 million payment related to the mandated profit-sharing and also included some higher than anticipated VAT receipts due to timing as we close Q2 with a lower level of VAT receivables on the balance sheet than we held in recent quarters. On capital expenditure, we invested $53 million in CapEx during the quarter including $30 million on Media Luna. As I noted earlier, we expect these quarterly CapEx numbers to increase quarter-over-quarter in 2022, and peak in 2023, before tailing off in 2024, in line with the timing of Media Luna development. And turning now to our balance sheet as summarized here on Slide 14. We exited the quarter with $311 million in cash and over $460 million in available liquidity. Our current credit facility and as included in that available liquidity number, matures in March 2023, and we are well-advanced in a process with a syndicate of international banks to increase and extend that credit facility. At a high-level we're looking to increase the amount of available credit to $250 million and that's from the current $150 million level and also extend the maturity into 2025. I expect to finalize this expanded facility through the course of Q3 and we'll provide further details at that time. The increased credit facility, the robust balance sheet and strong forecast cash flow from ELG, places on solid footing to not only fund the development of Media Luna, but also continue to reinvest in value-creating exploration. I do also want to note, as previously commented, we are also continuing to monitor that high yield market to assess whether an issuance would make sense for us at some point in the future, and that that's something we will continue to monitor, and we obviously, will have significant flexibility on that just given the expanded credit facility we have on the verge of agreeing here. And finally, I'm just turning to Slide 15, as a reminder and I've noted last quarter, we've hedged approximately 25% of production starting in Q4 of this year through until the end of 2023 at a weighted average price of $1,921 an ounce. With a declining gold price through the quarter, these hedges did result in a $17 million gain and that was recognized in our Q2 income statement. As usual these unrealized gains have been backed out from our reported adjusted earnings and adjusted EBITDA. Depending on market conditions, we may consider increasing the amount hedged in 2023 and also hedge a portion of production in 2024, and this hedging will be with the aim of protecting the balance sheet during a period of elevated capital investment related to Media Luna. So that concludes my comments for today, and with that, I'll pass the call over to Dave Stefanuto.
Dave Stefanuto: Thank you, Andrew, and good morning. Turning to Slide 17, I'll provide some key highlights on the Media Luna project. Following board approval at the end of March, we ramped up the full project team and got down to work on the project. Firstly, a key aspect of enabling a successful project is to put in place the necessary project controls environment. In my experience proper project controls is necessary to manage the progress of activities, ensuring the project stays on schedule and on budget. Secondly, we kept peace with the critical path development in respect to the Guajes Tunnel, as well as our South Portal development. Thirdly, we initiated the procurement phase of the project and have or are in the process of cutting POs for key long-lead items such as flotation cells; regrind mills, Guajes Tunnel conveyor and the underground battery electric fleet. Lastly, we also continue to progress with key civil on the south side of the Balsas River and preparations to start civil work in the new process area at the north side. This included engineering on an upgraded road to bypass the town of San Miguel which we received a Change of Land Use Permit and MIA authorization during the quarter. On the permitting front, discussions with SEMARNAT continue in relation to our MIA-Integral and CENACE on our upgraded power supply. At this time, discussions are progressing well, and we anticipate having both approvals in hand well before required. As Jody spoke to earlier during this period, we confirmed our project expenditure profile and redistributed our indirect costs associated with freight, import taxes and in contingency that are typically not incurred in the early phase of a project. This is a key element that has resulted in the lower expenditure forecast for 2022 which we expect to be distributed over the back half of the project execution. Overall, I'd like to emphasize that the development of the Media Luna project is tracking as scheduled and remains on budget. Turning to Slide 18, we have some pictures of our progress to-date. On the left you can see the development of our South Portal Lower, which as of July 31, has advanced 822 meters. In the middle is an aerial overview of the South side civil work, including the South Portal Upper and Lower. As you can see pad preparation for the new paste plant has commenced near the South Portal Upper. On the right is a close-up of our South Portal Lower, where you can see the portal canopy being completed and our temporary water recycling system is in place. Slide 19 illustrates our critical path development which I'm sure everyone on the call is familiar with at this time. The Guajes Tunnel has now advanced approximately 2.3 kilometers, as of July end, with rates continuing to improve including a record advanced rate of 6.7 meters per day during the month of June. Our South Portal Upper has now split with the top ramp, now advanced more than 1 kilometer and our bottom ramp over 320 meters. Progress on the South Portal Upper tunnel was impacted by similar challenging ground conditions experienced by the lower tunnel last period. Diamond drill probing between the plant profile of the tunnels was successful in identifying upcoming faulting in the limestone and the location of the transition to competent granodiorite. This has enabled the team to prepare in advance for any additional ground or water control measures. Progress on our South Portal Lower also improved over the month of June achieving near planned rates as challenging ground conditions encountered earlier in February and March improved over this period. A second diamond drill probe along the profile of the South Portal Lower has shown that the ground conditions continue to be favorable moving forward. We understood that we would initially be driving through shale and limestone as part of the initial development before moving into granodiorite. But overall the challenging ground conditions were related to fault structures in the limestone. Tunnel development in both South Portals Lower and Upper will advance into competent granodiorite in early August. From this point on, we are not expecting any material issues as we continue to develop the ore body. Moving to exploration on Slide 20. We outline the perspective nature of the Morelos property and our planned exploration and drilling program for 2022. Overall, we're around 50% completion for most of our drill programs, and expect to release the results of a number of programs over the coming weeks. Turning to Slide 21. I want to highlight initial results from the expansionary drill program at EPO, which were press released in July. As many know, EPO is a highly perspective target which already hosts an inferred gold equivalent resource of over 1 million ounces. While the main focus at EPO is on infill drilling, we have started to step out beyond the known resource. Overall, we're encouraged by the results. We have extended the mineralized footprint 150 meters to the west and 250 meters to the south. This bodes well for both the delineation of additional resources and the potential to become an incremental source feed beyond Media Luna. Additionally our on-site geologist conducted a small scope program in late 2021 following up on a potential new target identified by a high-resolution magnetic survey completed in 2021. The program was a success with four of the six holes hitting mineralization, including one hole which returned over 16.5 meters grading, 9.6 grams per tonne gold equivalent. Given the success of the high-res magnetic survey, our team has recently completed a similar survey on the north side of the Balsas River and we're eagerly awaiting the findings of this survey. I'll now turn the call over to Jody.
Jody Kuzenko: Thanks, Dave. Just to close-up here. Torex delivered an excellent quarter on multiple fronts and is really well-positioned to deliver on production and cost guidance for the fourth year running. We're executing on our strategic priorities. Focus remains on delivering consistent production costs while bringing Media Luna into production, on schedule and on budget. With our feasibility study, we have cast a realistic plan and now we're on to doing what we do best, which is delivering. I'll turn the call back over to Joe. Those conclude my comments but we're open for any questions certainly, Andrew, Dave and I.
Operator: Thank you, Jody. We will now begin the question-and-answer session. [Operator Instructions]. Your first question comes from Trevor Turnbull with Scotia Capital. Please go ahead.
Trevor Turnbull: Sorry, Jody. Thank you. Clearly the cost discipline is helping to offset inflation and I see that's -- so that has -- it sounds like, it's been looking for efficiencies, you're reducing consumption of where you can. I just wondered if some of that is also due to existing lower cost inventories and as you get deeper into the year, if you're starting to see inflation catch-up as you replenish those supplies?
Andrew Snowden: Andrew here, Trevor. Need to respond to that. In short the answer is no, it's not driven by temporary benefits from inventory movements here. I think the cost position that we've recorded for the first half of the year here is generally in line with expectations, and as we can have move through the balance of the year, I expect that the main variability you'll see is just with increased stripping, and as we look to closeout our full-year within our AISC range. But other than that, I think our cost profile and the inflationary pressures we're seeing within our input costs and you're seeing those in our numbers, in the first half of the year, and I think you'll see those in our numbers for the second half of the year, but there will be no surprises there for you when you can see our Q3 results. I think everything will be in line with first half.
Trevor Turnbull: It sounds really good. So leaving the sustaining capital of stripping aside, like the total cash cost, that number or the cash costs ex the royalties should be fairly steady then as we move through the rest of the year?
Andrew Snowden: Yes. I think we're in our guided ranges. We're still very comfortable with those ranges. And so I'll expect full-year and TCC to be within the ranges. There's no revisions that we're expecting.
Trevor Turnbull: Okay. Thank you. And then I had one question -- one other question, and that's more on the Media Luna development. I saw there's some metrics on the two South Portal access ways. Can you just remind me, kind of, what the total distance that you're looking for in each of those? And once you do get those completed and where they need to be and they get tied in, then, where does underground development shift? Do you start to work on developing working levels for ore access or for underground drilling? Kind of what happens after the portals are done?
Dave Stefanuto: Yes. So Dave Stefanuto here. Essentially for both of the portals, the upper, they are just over 1.5 kilometers in total length of development that we need to do. The South Portal lower is a little bit longer as it continues to move towards the Guajes Tunnel and connect to the Guajes Tunnel at a breakthrough point. Following completion of that, you are correct, both of those developments will start -- those development crews will start on level development, working towards the cross-cuts and the drift development towards our first production stilts.
Trevor Turnbull: And do you have a , kind of, a rough timeline of when you expect that they will make that transition?
Andrew Snowden: We're looking at the South Portal Upper will be hitting our west vent at it towards mid-point of next year. Our South Portal Lower will actually continue on. We're going to actually hit our ramp on South Portal Lower towards the fall of this year and will continue to ramp down towards the Guajes Tunnel, where in late 2023 will hit breakthrough with the team coming from the north side on Guajes.
Operator: The next question is from Wayne Lam with RBC Capital markets. Please go ahead.
Wayne Lam: Hey, good morning guys. Just wondering on the permitting, can you remind us between the MIA modification that was received and the permitting from CONAGUA, are all the permits in hand for full completion of the tunnel including beneath the river? And then just seems like it's taking a little bit longer than anticipated for MIA-Integral. Is that permitting just needed a head of the operations in 2024? And do you have any updated guidance on the timing for that?
Jody Kuzenko: Good morning, Wayne. Thanks for the questions. I'll take those ones. All permitting is in-hands for tunneling on Guajes including permitting beneath the Balsas River, that's your first question. And second question, you'll recall that we sort of eyeballed middle of the year to receive our MIA-Integral for the balance of the project. We're in really tight discussions with SEMARNAT these days, including a site visit last week for two days by the regulators. And so that permit is well in sight. We're continuing to work to finish that. But you are quite correct. We don't need that. We have lots of time. We don't need that until we really start production on the project.
Wayne Lam: Okay. Perfect. That's -- that's good to hear. And then just wondering for the increase in the power draw, what's the guided timing on that? And what are the implications if that isn't received? Is it just greater diesel usage, or would there be other operational implications?
Dave Stefanuto: Yes, Dave here. So the timing to actually get the permit for the connection to the 230 KV voltage system will be in Q1 of 2024. We're expecting to energize the new 230 KV substation at that time and that'll give us over 60 megawatts of power to support the underground development. Having said that, we have lots of time to continue to advance the development and advance the ramp up of the project because we are constructing a diesel generating facility to support us during the construction period. So we don't see that as critical path at all our concern.
Wayne Lam: Okay. Perfect, thanks. And then I saw the commentary on the ramp up or the targeted ramp up of the underground ELG to 2,000 tonnes per day, which I don't think I'd seen before. I think prior guidance was more, much more conservative, at about 1,200, 1,300 and the fees was about 1,400. Just wondering what's driving that, and kind of, what's helping to -- where you see the ramp up on the underground and getting to those levels?
Jody Kuzenko: Yes. Sure, Wayne. 2,000 tonnes a day is a target that we've been talking about internally for a while and you're starting to see the first phases of working on that. So it comes in a couple of phases. One is optimized what you've got. So what can you do with equipment availability, which was our key bottleneck there and space readiness for mining and can we open up more headings. So getting from getting from 1,200, 1,300 tonnes a day to what you saw this quarter 1,500 to 1,600 tonnes a day, that's a reflection of that work. We also are implementing our business process framework underground. That's what we do at the plant. Really that's a sophisticated system for planning, scheduling and execution, with a view to getting excellent cycle times and making sure that we're as efficient as we can be in the underground, so that's step one. Optimize what you've got. Step two, we're looking to hole in portal 3. We're almost at destination. We expect to be there by the end of August, that we need to put an ore passing to connect up that mine. Once that's done, we expect efficiencies furthered because we're going to be reducing hall distances by about half. And then the third is, we've identified some areas in that deposit for long hole opens stoping, This helps us in two ways; gets us more volumes out of ELG underground and really sets us up nicely for a training ground for employees as we're thinking about our Media Lune workforce. Today we do cut and fill at ELG underground. In the future we will be doing long hole open stoping and so we want to move to that method where possible for more than one reason. We're also looking at cutoff grades in the underground, as we drive down costs and so the collection of those things coming together, we think get us to our long-term goal of 2,000 tonnes a day. Your next question is when we're going to see that? And I think you'll see what we're comfortable with saying to the market now, is Q2 rates will remain at those levels for the back half of this year. We have internal targets for next year and once we feel really comfortable with those, we'll let you know what that increase is to.
Wayne Lam: Okay, great. Thanks. That's good color. And maybe just last one for me. Just wondering, what percentage of the operating costs would you estimate are attributed to fuel? And can you give us an idea of the impact on costs due to fuel subsidies in Mexico? And do you see any risk of the government removing those given the higher prices?
Andrew Snowden: So Wayne, I'll take that question. In terms of overall diesel costs for the year, but terms of our overall OpEx, it was not a significant percentage. I think our current forecast, if I recall correctly, has full-year costs, diesel costs, in the $25 million range. And so, that just gives you a flavor for the magnitude of it. In terms of risks of the subsidies being pulled, I mean, obviously, that's a government decision, but we've not seen any indications of those subsidies being impacted. And clearly, if those subsidies were to be -- were to be eliminated, that would have broad consequences across the country. And it's been a long-standing policy of the Mexican government to support and subsidize those diesel costs. And so there's no signs of that yet but that gives you a sense of the impact it would have on our operating costs.
Operator: [Operator Instructions]. The next question is from Don DeMarco with National Bank Financial. Please go ahead.
Don DeMarco: Hi, thank you, Operator, and good morning Jody and team. Congratulations on a strong quarter. Just continuing with another question to Andrew. So Andrew, looking at Media Luna CapEx, whatever is remaining, just over $800 million, I guess, how much is said in fixed-price contracts, versus that might be -- which might be prone to cost escalation.
Andrew Snowden: So we're currently working through the RFP process and purchase order and contract issuance at this point, Don. Obviously the project was only approved back in March of this year and so we'll have more clarity on potential risks associated with those contracts once they get placed over the course of the year. So don't really have a clear answer to you on that yet. I mean, I will say that we still feel very confident with our capital number. And as we talked about on the last earnings call that that estimate does include quotes from earlier on this year and reflects very much the inflationary environment that we saw earlier on this year, as well as a very healthy contingency. And so, we do feel that if there are any unexpected increases through the course of the contract issuance, we're well placed to absorb those. And that's maybe just some high-level comments. I don't know if Dave has anything that you want to add to that.
Dave Stefanuto: Yes. I think in terms of having fixed price contracts, I think we have to remember that we have mobilized our underground development contractor, so we do have rates that are known and understood that will continue to the balance of the development of the project with that contractor as well as our key civil contractors. But as Andrew said, we're in the process of doing the engineering and getting those requests for proposals out on the street. That includes the work to continue with our mechanical piping electrical instrumentation work that will happen in 2023 as part of our process plant installation. So hopefully towards the end of the year, early Q1, we'll have locked in those prices for those contracts. And we continue to make commitments on the PO front as well and that seems to be tracking in line with our feasibility study.
Don DeMarco: Okay. Understood. Yet still early in the process. So for my next question to the team, so the grades in the open pit and the underground in Q2 were above reserve grade. So are you finding that, you're just finding better than expected reconciliation or are you just working through a high-grade zone right now? And if the latter, I guess, that might imply the grades could be lower, in say 2023, on a reversion to reserve levels?
Jody Kuzenko: Yes. I'll take that one, Don. The short answer to that question is that it's a scar ore body, and so we do our best and our reconciliations overtime and on an annual basis turn up to what we think is going to be. But we do hit pockets of high grade and we'll take them where we get them. In this quarter we saw very nice pocket of high-grade at El Limón pit, we knew it was there. What was a little bit of a surprise was how much was there, and so happily we took it. Can't reconcile this ore body on a month-by-month or quarter-by-quarter basis, but annually, certainly, it holds up to what we think is there.
Don DeMarco: Okay. So that high grades on that you hit was maybe a bit unexpected, or was it, do you think it was in the mine plan or --?
Jody Kuzenko: It was in the plan. We knew it was there. There was just a little bit more than we thought.
Don DeMarco: Okay. That's good. So looking at what cost on a per ounce basis were lower and they look great. But on a per tonne basis, I see their edging higher. We see grades are up 14% quarter-over-quarter. So is it fair to say that the uptick in grade is providing an offset to whatever inflationary pressures are so prevalent in sector right now?
Andrew Snowden: Look, I think there's that definitely played a part in the quarter. I think the commentary that we provided earlier on in our in our remarks is the key focus area, at least for the course of 2022 here, where in terms of, kind of, inflationary pressures, we are seeing them across the board on input costs and into the plant. But the biggest opportunity we found, at least, from an operating cost perspective is to focus on blending and to manage our cyanide consumptions. And so, those are really the key drivers, but other headwinds out there as well. But overall, despite this obviously pocket of higher grade material that we saw for the course of Q2 and for full-year 2022, we feel very comfortable with our guided range and that's where we'll end the year.
Don DeMarco: Okay, thanks Andrew. And so, is that high grades own that you encountered in Q2, are you still working through that? Do you think, would the grades and the balance of the year be comparable, or do you expect those to ease a little bit?
Jody Kuzenko: We expect them to come up lightly, certainly in that area, Don.
Operator: As there appear to be no more questions, this concludes today's conference call. You may disconnect your lines and thank you for participating and have a pleasant day.